Operator: Good afternoon, everyone, and welcome to the Monster Beverage Corporation Third Quarter 2025 Financial Results Conference Call. [Operator Instructions] Please also note, today's event is being recorded. At this time, I would like to turn the floor over to Hilton Schlosberg, Chief Executive Officer. Sir, please go ahead.
Hilton Schlosberg: Good afternoon, ladies and gentlemen. Thank you for attending this call. I'm Hilton Schlosberg, Vice Chairman and Chief Executive Officer. Also on the call are Tom Kelly, our Chief Financial Officer; Emelie Tirre, our Chief Commercial Officer; Rob Gehring, our Chief Growth Officer; Guy Carding, our President of EMEA and OSP; and Mark Astrachan, our Senior VP of Investor Relations and Corporate Development. Mark will now read our cautionary statement.
Mark Astrachan: Before we begin, I would like to remind listeners that certain statements made during this call may constitute forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended, and are based on currently available information regarding the expectations of management with respect to revenues, profitability, future business, future events, financial performance and trends. Management cautions that these statements are based on our current knowledge and expectations and are subject to certain risks and uncertainties, many of which are outside the control of the company that may cause actual results to differ materially from the forward-looking statements made during this call. Please refer to our filings with the Securities and Exchange Commission, including our most recent annual report on Form 10-K filed on February 28, 2025, and quarterly reports on Form 10-Q, including the sections contained therein entitled Risk Factors and Forward-Looking Statements for a discussion on specific risks and uncertainties that may affect our performance. The company assumes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise. I would also like to note that an explanation of the non-GAAP measures, which we refer to as adjusted where applicable, mentioned during the course of this call, is provided in the notes in the condensed consolidated statements of income and other information attached to the earnings release dated November 6, 2025. A copy of this information is also available on our website, www.monsterbevcorp.com, in the Financial Information section. Please note that like last quarter, scanner data, which was previously provided on earnings calls is included in an exhibit filed with our 8-K. We point out that certain market statistics that cover single months or 4-week periods may often be materially influenced positively or negatively by promotions or other trading factors during those periods. I would now like to hand the call over to Hilton Schlosberg.
Hilton Schlosberg: Good afternoon, and thank you for joining us. We're pleased to report yet another quarter of strong financial results and cash generation with record quarterly net sales, gross profit dollars, operating income and net income. The percentage growth rates in reported gross profit, operating income, net income and earnings per share, all outpaced our growth rate in net sales. Overall, the global energy drink category remains healthy with robust growth. We believe household penetration continues to increase in the energy drink category, driven by functionality and lifestyle positioning, diverse offerings that appeal to an increasingly broad and loyal consumer base and affordable value offerings in addition to premium offerings. In the United States, according to Nielsen, for the recently reported 13-week period through October 25, 2025, sales in dollars in the energy drink category, including energy shots for all outlets combined, namely convenience, grocery, drug, mass merchandisers, increased by 12.2% versus the same period a year ago. In EMEA, the energy drink category according to Nielsen for our tracked markets for the recently reported 13-week period, which differ from country to country, grew at approximately 13.3% versus the same period last year, ForEx neutral. In APAC, the energy drink category according to Nielsen, Circana and INTAGE for our tracked channels for the recently reported 13-week period, which differ from country to country, grew at approximately 20.0% versus the same period last year, FX neutral. In LatAm, the energy drink category according to Nielsen for our tracked markets for the 3 months ended September 30, 2025, grew at approximately 12.6% versus the same period last year, FX neutral. Our net sales to customers outside the United States rose to approximately 43% of total reported net sales in the 2025 third quarter, the highest percentage recorded by the company for a single quarter. We believe our portfolio of energy drink offerings are well positioned to participate in the growing global energy drink category, appealing to a broad range of consumers across geographies, price points and need states. Innovation continues to be an important contributor to category growth, and we maintain a robust innovation pipeline. Turning to marketing. Our marketing messaging continues to resonate globally as we built strong momentum through the summer with marketing efforts focused on growing the core business and attracting new consumers. Highlights in the third quarter included the continued success of the Monster-sponsored McLaren Formula 1 team, a Monster Energy Lando Norris Zero Sugar product was well received in EMEA and has recently been introduced in Texas, California and the Las Vegas metropolitan area as an LTO, limited time offering with a nationwide launch planned in 2026. The Summer X games in Salt Lake City provided significant brand exposure as Monster Energy was once again the primary sponsor. Other major sponsorships and events during the quarter included the UFC; the Motorcross Finals in Las Vegas; the Monster Energy MotoGP of Catalonia, Spain; and Outside Lands Music Festival in San Francisco, among others. The Ultra brand family continued its strong performance with the introduction of a digital media campaign centered around Zero Sugar, Flavor Unleashed, complementing the viral social media surge of flagship White Ultra Zero together with robust merchandising activity at retail. During the third quarter of 2025, the impact of tariffs on our operating results is modest. In general, while our flavors and concentrates are manufactured both in the U.S. and Ireland at the present time, production of our finished products takes place locally in our respective markets. Despite the modest impact on our business in the third quarter, the tariff landscape continues to be complicated and dynamic. For instance, tariffs significantly impacted the Midwest premium for aluminum, which increased the cost of our aluminum cans. We also import some raw materials into the United States, export certain raw materials for local markets and export limited quantities of finished products. We do not believe, based on our business model that the current tariffs will have a material impact on the company's operating results. However, we expect it will continue to have a modest impact in the fourth quarter of 2025 and in 2026. We will continue to recognize tariffs on aluminum through the higher Midwest premium and continue to implement mitigation strategies across the business where possible. Now turning to our Q3 results. Net sales were $2.2 billion for the 2025 third quarter or 16.8% higher than net sales of $1.88 billion in the 2024 third quarter. Net sales, excluding the Alcohol Brands segment increased 17.5% in the 2025 third quarter. Net changes in foreign currency exchange rates had a favorable impact on net sales for the 2025 third quarter of $31.8 million. Net sales on a foreign currency adjusted basis increased 15.1% in the 2025 third quarter. Net sales, excluding the Alcohol Brands segment on a foreign currency adjusted basis, increased 15.8% in the 2025 third quarter. Excluding the Alcohol Brands segment from our reported results is purely illustrative as it remains part of our ongoing operations. Net sales for the company's Monster Energy Drinks segment increased 17.7% to $2.03 billion for the 2025 third quarter from $1.72 billion for the 2024 third quarter. Net sales on a foreign currency adjusted basis for the Monster Energy Drinks segment increased 16% in the 2025 third quarter. Net sales for the company's Strategic Brands segment increased 15.9% to $130.5 million for the 2025 third quarter from $112.6 million in the 2024 third quarter. Net sales on a foreign currency adjusted basis for the Strategic Brands segment increased 13.2% in the 2025 third quarter. Net sales for the Alcohol Brands segment decreased 17% to $33 million for the 2025 third quarter from $39.8 million in the 2024 third quarter. Gross profit as a percentage of net sales for the 2025 third quarter was 55.7% compared with 53.2% in the 2024 third quarter. The increase in gross profit as a percentage of net sales for the 2025 third quarter was primarily the result of pricing actions, supply chain optimization and product sales mix, partially offset by higher promotional allowances, increased aluminum can costs and geographical sales mix. Distribution expenses for the 2025 third quarter were $82.6 million or 3.8% of net sales compared with $82.7 million or 4.4% of net sales in the 2024 third quarter. Selling expenses for the 2025 third quarter were $214.6 million or 9.8% of net sales compared with $196.1 million or 10.4% of net sales in the 2024 third quarter. General and administrative expenses for the 2025 third quarter were $251.9 million or 11.5% of net sales compared with $241.1 million or 12.8% of net sales for the 2024 third quarter. Stock-based compensation was $32.8 million for the 2025 third quarter compared with $27.5 million in the 2024 third quarter. The increase in stock-based compensation for the 2025 third quarter included $7.4 million related to certain equity awards granted late in the 2025 first quarter that contain a new retirement clause. Operating expenses for the 2025 third quarter were $549.1 million compared with $519.9 million in the 2024 third quarter. Adjusted operating expenses for the 2025 third quarter were $510.4 million compared with $474.7 million in the 2024 third quarter. Operating expenses as a percentage of net sales for the 2025 third quarter were 25.0% compared with 27.6% in the 2024 third quarter. Adjusted operating expenses as a percentage of net sales for the 2025 third quarter were 23.6% compared with 25.8% in the 2024 third quarter. Operating income for the 2025 third quarter increased 40.7% to $675.4 million from $479.9 million in the 2024 comparative quarter. Adjusted operating income for the 2025 third quarter increased 35.6% to $705.8 million from $520.4 million in the 2024 third quarter. The effective tax rate for the 2025 third quarter was 23.9% compared with 21.8% in the 2024 third quarter. The increase in the effective tax rate was primarily attributable to higher income taxes from foreign tax jurisdictions. Net income per diluted share for the 2025 third quarter increased 41.1% to $0.53 from $0.38 in the third quarter of 2024. Adjusted net income per diluted share for the 2025 third quarter increased 36.2% to $0.56 from $0.41 in the third quarter of 2024. And now let's turn to North America. Net sales in the U.S. and Canada in the 2025 third quarter increased by 11.6% in dollars over the same period in 2024. The quarter was driven by strong execution across channels, sustained momentum from prior innovations, continued strength of the Monster Energy Ultra family and a strong contribution from the Juice Monster family. In the U.S., according to Nielsen, for the 13 weeks ended September 27, 2025, our Monster Energy Ultra brand family grew 29% year-over-year, led by our flagship White Zero Ultra and strong repeat purchases of early innovations, including Ultra Blue Hawaiian and Ultra Vice Guava. Our revenue growth management team remains focused on delivering sustainable revenue growth, value creation and strategic trade spend optimization. We implemented pricing adjustments through frontline price increases and/or reductions in promotional allowances by packaging channel in the U.S. effective November 1, 2025. Our pricing strategy considers consumer purchasing behavior, brand momentum, channel and package mix. We continue to anticipate minimal impact on volume, supported by the category's favorable value proposition and the relatively modest pace of energy drink price increases compared to other NART beverages over the past decade. Currently, we are in the process of launching a number of SKUs at retail to take us through 2025. These are Monster Energy Ultra Wild Passion, Juice Monster Bad Apple, Monster Electric Blue, Monster Orange Dreamsicle and in certain markets, Monster Energy Lando Norris Zero Sugar. Our innovation is supported by upgraded analytics for SKU flow, display optimization and cooler resets. Additionally, we have refined our merchandising strategy to prioritize high-impact placements across the convenience, mass and grocery channels. In addition, we have a robust innovation slate planned for 2026. In January, we are planning to launch Monster Energy Strawberry Shot in 16-ounce cans in full and zero sugar offerings. And in February, we are planning to launch Juice Monster Voodoo Grape, Reign, Watermelon Sour Gummy and Bang Lime Pop Drop. We are planning to introduce Monster Energy Lando Norris Zero Sugar on a nationwide basis. Late in the first quarter, we are planning to launch FLRT in select channels. FLRT is a female-focused brand with 4 initial flavors, Strawberry Fling, Guava Lava, Berry Tempting and Sunset Squeeze and contains Zero Sugar and includes ingredients we believe will appeal to our target audience. We are also planning to launch Monster Energy Ultra Punk Punch in March. In April, we are planning to launch Full Throttle Red Apple and NOS Grand Prix Guava. Additionally, we are planning to launch Storm Energy in the second quarter of 2026 in the Wellness Zero Sugar energy drink segment. We're also planning to introduce 2 LTOs, that's limited time offers from May to July 2026, Monster Energy Ultra Red, White and Blue Razz and Juice Monster Strawberry Lemonade to coincide with America's 250th anniversary. Turning to sales internationally. Net sales to customers outside the United States increased 23.3% to $937.1 million or a record of approximately 43% of total net sales in the 2025 third quarter compared to $760.1 million or approximately 40% of total net sales in the corresponding quarter in 2024. Net sales to customers outside the United States on a foreign currency adjusted basis increased 19.1% to $905.3 million in the 2025 third quarter. Gross profit as a percentage of net sales increased in all 3 of our international regions, EMEA, Asia Pacific and Latin America in the 2025 third quarter as compared to the 2024 third quarter. Now focusing on EMEA. Our net sales in EMEA in the 2025 third quarter increased by 30.3% in dollars and increased 23.0% on a currency-neutral basis over the same period in 2024. Gross profit in this region as a percentage of net sales for the 2025 third quarter was 37.0% versus 35.4% in the same period in 2024. The quarter was driven by strong execution across markets, including accelerated cooler placements and space gains. Sales growth reflects contributions from both existing SKUs and 2025 innovation with growth from all brand families, especially the Monster Energy Ultra and Juice Monster families. Energy drink category growth remains healthy with Monster outperforming the category in the majority of EMEA markets. According to Nielsen, in all measured channels in Coca-Cola EuroPacific Partners Western European markets, the Monster Energy brand was the fastest-growing FMCG brand by value and value growth year-to-date. According to Nielsen, for the most recent 13-week period, the Monster brand is now the #1 energy drink in Greece, adding to our market leadership in a number of other countries. Our affordable brands continue to grow and gain share in their respective markets. Within EMEA, we are seeing continued strong growth of Predator Fury in Egypt, Kenya and Nigeria and are continuing the rollout of Predator in Morocco. We are the market leader in Kenya. Innovation continues to drive performance in this region, in particular, Monster Energy Lando Norris Zero Sugar, which is now available in 27 EMEA markets, became the company's most successful new product launch in EMEA. In the third quarter, we launched Monster Energy Valentino Rossi Zero Sugar in 12 markets and Monster Ultra Vice Guava in Australia, with both products showing promising initial results. We will also continue the rollout of various Monster Energy strategic brands and affordable brand innovations in additional markets in EMEA throughout the last quarter of the year. Turning to Asia Pacific. Net sales in Asia Pacific in the 2025 third quarter increased 28.7% in dollars and 26.9% on a currency-neutral basis over the same period in 2024. Gross profit in this region as a percentage of net sales for the 2025 third quarter was 40.7% versus 40.2% in the same period in 2024. Net sales in Japan in the 2025 third quarter increased 15.6% in dollars and increased 9.7% on a currency-neutral basis. We launched 2 SKUs of Reign Storm in Japan in the 2025 third quarter. Net sales in South Korea in the 2025 third quarter increased 23.9% in dollars and increased 23.6% on a currency-neutral basis as compared to the same quarter in 2024. Net sales in China in the 2025 third quarter increased 42.9% in dollars and increased 42.0% on a currency-neutral basis as compared to the same quarter in 2024. Net sales in India in the 2025 third quarter increased 54.5% in dollars and increased 58.6% on a currency-neutral basis as compared to the same quarter in 2024. We continue to remain optimistic about the long-term prospects for our brands in Asia Pacific and the expansion of our affordable brands in China and India. In Oceania, which includes Australia, New Zealand, Tahiti, French Polynesia, New Caledonia, Papua New Guinea and Guam, net sales increased 56.9% in dollars and increased 60.2% on a currency-neutral basis. Turning now to Latin America and the Caribbean. Net sales in Latin America, including Mexico and the Caribbean in the 2025 third quarter increased 9.3% in dollars and increased 9.8% on a currency-neutral basis over the same period in 2024. Gross profit in this region as a percentage of net sales was 46.8% for the 2025 third quarter versus 42.2% in the 2024 third quarter. Net sales in Brazil in the third quarter increased 11.3% in dollars and increased 10.4% on a currency-neutral basis. We launched Juice Monster Rio Punch in the third quarter with positive market acceptance. Net sales in Mexico increased 26.8% in dollars and increased 30.1% on a currency-neutral basis in the 2025 third quarter. We launched Monster Energy Ultra Strawberry Dreams and Predator Wild Berry in the quarter and both contributed to growth and market share gains. As you may be aware, Mexico recently approved new excise taxes on sugar and artificially sweetened drinks effective January 2026, which will apply to drinks in our portfolio. While Mexico accounts for a low single-digit percentage of our sales, we will work to reduce the impact on our business where possible. Net sales in Chile in the 2025 third quarter increased 6% in dollars and 8.1% on a currency-neutral basis. Net sales in Argentina in 2025 third quarter decreased 15.1% in dollars and 15.0% on a currency-neutral basis. The net sales decrease in Argentina was due to lower price per case revenues as a result of a change in our operating model late in the first quarter of 2025 with the objective of better managing our foreign currency exposure. Our volumes in Argentina actually increased in the quarter. Turning to Monster Brewing. Net sales for the Alcohol Brands segment were $33 million in the 2025 third quarter, a decrease of approximately $6.8 million or 17% lower than the 2024 comparable quarter. Our recently launched hard lemonade lines, Blind Lemon and Blind Lemon began shipping nationally in July. Our first subline of The Beast, a spirit-based RTD, ready-to-drink and 2 new beer brands among the planned innovations in 2026. During the 2025 third quarter, no shares of the company's common stock were repurchased against our repurchase program. As of November 5, 2025, approximately $500 million remained available for repurchase under the previously authorized repurchase program. Turning now to October 2025 sales. We estimate that October 2025 sales on a non-foreign currency adjusted basis were approximately 14.1% higher than the comparable October 2024 sales and 14.5% higher on a non-foreign currency adjusted basis, excluding the Alcohol Brands segment. We estimate that on a foreign currency adjusted basis, October 2025 sales were approximately 13% higher than the comparable October 2024 sales and 13.4% higher on a foreign currency adjusted basis, excluding the Alcohol Brand segment. October 2025 had the same number of selling days as October 2024. In this regard, we caution again that sales over a short period are often disproportionately impacted by various factors such as, for example, selling days, days of the week finish holidays fall, timing of new product launches, the timing of price increases and promotions in retail stores, distributor incentives as well as shifts in the timing of production. In some cases, our bottlers are responsible for production and determine their own production schedules. This affects the dates on which we invoice such bottlers. Furthermore, our bottling and distribution partners maintain inventory levels according to their own internal requirements, which they may alter from time to time for their own business reasons. We reiterate that sales over a short period such as a single month should not necessarily be imputed to or regarded as indicative of results for a full quarter or any future period. In conclusion, I'd like to summarize some recent positive points. Our record quarterly net sales, gross profit dollars, operating income and net income speak to the strength of our brands. In addition, the percentage growth rates in reported gross profit, operating income, net income and earnings per share, all outpaced our growth rates in net sales. The energy drink category continues to grow globally. We believe that household penetration continues to increase in the energy drink category, growth opportunities in household penetration per capita consumption, along with consumers' needs for energy are positive factors for the category. We continue to expand our sales in non-Nielsen tracked channels. Globally, as measured by scanner data, consumer demand remains strong in the energy drink category. We continue to review opportunities for price increases, both domestically and internationally. We continue to invest in our supply chain to better service our customers and improve our cost structure. We are excited about our innovation pipeline for 2026 and beyond. Finally, we are hosting an Investor Day in New York City on December 2, and we hope you can join us in person or online. I would now like to open the floor to questions about the quarter. Thank you.
Operator: [Operator Instructions] And our first question today comes from Dara Mohsenian from Morgan Stanley.
Dara Mohsenian: So I just wanted to touch on EMEA revenue growth, strong reported results in the last couple of quarters. We're also seeing really robust retail takeaway in Nielsen and Western Europe in what's countries that are more developed with higher per capita consumption. So just want to get your perspective on what's driving the strong category growth in Western Europe, perhaps compare and contrast that with the U.S. category acceleration we've seen over the last year? And the second part of that strength in EMEA is Monster's market share has accelerated in the last couple of quarters here. So I know Hilton touched on some of the factors in the prepared remarks, but perhaps just give us a bit more detail on what's also driving the Monster share acceleration in EMEA?
Hilton Schlosberg: Sure, Dara. That's a long question, but I'll do my best to answer it. Category acceleration in Europe, fundamentally driven by strong value proposition that we have with energy products compared to other NARTDs, combined with brand image, image is really important in our industry and category functionality, which all combine to make energy drinks all-day multi-occasion beverages with a wide appeal across age groups. We've also had this ultra-wide viral social media growth through the Internet and following that a lot of endorsements. And for those of you who haven't followed that on social media, it's something really worth seeing. A large percentage of our category consumers, we've heard about 25%. We did some studies in Western Europe based on usage and attitude. And we basically have heard from these studies that 25% of consumers are actually new to the category in the last 12 months and come from a range of other categories, including water, juice, coffee and sparkling soft drinks. We have not done the study in the U.S., just in Europe to be precise. The energy category has a wide range of product offerings, both sugar, non-sugar SKUs with an extensive range of flavors and material product innovations and innovations. Similar to the U.S., value proposition, brand image, functionality, consumers new to the category come from a range of other categories, water, coffee, coffee house, coffees are becoming really expensive and energy drinks are seen as a more affordable alternative. We've got zero and we've got full sugar variants and as you know, a wide variety of innovation. And if we talk about share gains, that was another part of your question. Mark just sent me a note and said I didn't answer your question properly. I have to talk about share gains. So Monster outperformed the category, and you could see the share gains in the attachment to the release, which we're pretty excited about. The achievement in EMEA in market share was pretty phenomenal. So again, we outperformed the category with growth driven both from innovation and from existing SKUs, which are consumer favorites. And that's really important about our business is that growth is driven by innovation as well as from existing SKUs, whereas if you look at the rest of the category, they are mainly dependent on innovation for growth. Ultra, the Ultra brand platform has led the growth with Ultra White supported online, as I mentioned, and social media consumer endorsements together with really good Ultra innovation. Growth in the Monster SKUs has Monster Green. Juice Monster has added to the positioning in Europe and Lando Norris Zero Sugar, you add that all together, that combined to drive growth ahead of the category. Lando Norris was, as I mentioned in the script, one of the best launches we've ever had in EMEA. And we've had some good results in the U.S. as well in the limited markets where we have released Lando Norris Zero Sugar. So sorry, I was a little bit long-winded, but I hope that answered your question. Mark seems to be happy. So...
Operator: Our next question comes from Peter Grom from UBS.
Peter Grom: Hilton, I was hoping to just get your perspective on the top line trajectory from here, but more from a category standpoint. Obviously, this year has been solid, probably better than most of us would have expected if you asked us this time last year. So just -- as we look out to '26 and just given the various cross currents and tougher comps, how do you see category growth evolving as we look ahead? Would you expect some moderation? Or do you think the strong level of growth can continue? And then just quickly more of a housekeeping. The quarter-to-date number, sometimes there can be a shift in ordering patterns around pricing adjustments. So just curious if there was any sort of benefit from that in the October number?
Hilton Schlosberg: Okay. So we did not see a benefit in this quarter from the price increase that -- we will talk about if anyone asked a question that is effective November 1 and including October. So we do not see any impact in the quarter and in October either. So just looking at the key drivers of growth, and then we can talk about your question for 2026. But again, we don't give guidance. But as I talk through what I believe are the key drivers for the category and for growth, we can get a feel -- or you can get a feel of what could happen in 2026. Number one, we spoke about the value proposition relative to other beverages, relative to coffee house coffees. So that's something that I believe is really important in the growth that we are seeing. We're seeing increasing household penetration. We're seeing new entrants into the category. Monster has always stood for image. Image is really important and image is really important in the energy drink category. We've spoken about innovation, the need state for energy. There's a huge -- everyone wants energy. They need energy, and we offer that. The fact that we are an affordable luxury, which we've spoken in the past and also this whole sort of move behind the Ultra brand family. And energy drinks are becoming more acceptable in society. At one time, they were kind of looked at and people were concerned about them. But now understanding the levels of caffeine, which are not exorbitant and less than half of equivalent size of a coffee house coffee, energy drinks are becoming more acceptable. And then when we look at 2026, we can make our own conclusions, but we are having a price increase that we'll talk about maybe. And innovation, we've got a lot of innovation planned for the remainder of this year that's happening. It's all in market, and we've got great innovation for 2026 as well. And we're excited about all the innovation, including these LTOs for America's 250th year anniversary.
Operator: Our next question comes from Matthew Smith from Stifel.
Matthew Smith: Since you mentioned pricing, I'll swap my question in here. You have pricing effective November 1. It sounds like you're taking a strategic approach versus a broad line increase. In the U.S., what level of pricing do you expect from the increases in promo reductions? And do you expect price realization to be significantly different by channel?
Hilton Schlosberg: Okay. So let me start off by saying we've completed our discussions with our bottlers and our customers. And we will have revised pricing implemented effective November 1, which is already happening. As I also said on the call, we anticipate minimal impact on volumes, reflecting the energy drink category's favorable value proposition and relatively modest pace of price increases compared to other NARTD categories. And now I'm just going to hand this question over to Rob Gehring, who has been our Chief Growth Officer, as most of you will know, who's been intimately involved in implementing the price increasing and the -- it's better you hear it from him rather than from me. So Rob, please go ahead.
Rob Gehring: You bet. Matt, thanks for the question. I appreciate that. As you're aware, we believe RGM is a balance of art and science rooted in consumer insights where we sequentially strive to grow top line faster than units. And as Hilton mentioned, we remain focused on unit growth, and we're constantly evaluating elasticities because we believe that's a critical strategic consumption metric. So as we engage with our bottlers and our retailers, we strive to optimize the ideal balance of rate, trade spend, package mix and channel mix. And what we have implemented effective November 1, you will start to see in the coming weeks in scanner data, but our goal is to consistently achieve and deliver those objectives.
Operator: Our next question comes from Bonnie Herzog from Goldman Sachs.
Bonnie Herzog: All right. Actually, if I could, Rob, maybe just ask a quick follow-up question on pricing about the net price realization you're hoping to achieve with the actions you just talked about. How do we think about it versus, I guess, the 5% rate or price increase you took last year?
Rob Gehring: I think, Bonnie, thanks for the question, and thanks for the follow-up. We're going to go into a lot more detail about our strategy in December. But at this point, the complexity across channels and package mix and across our brand families, it's a little early to state an exact precise number as we watch this materialize. You're starting to see it in stores now. You'll see in scanner data in coming weeks. But again, our goal is always to manage that balance between delivering that top line ahead of unit growth. So you can see how effective it was for us in 2025, and our goal is to consistently deliver that moving forward.
Bonnie Herzog: Okay. And then if I could, Hilton, I'd love to ask you a question about your gross margins in the quarter, which were really strong. And I think they came in better than you expected since I believe you suggested to us last quarter that they would decline sequentially. So just would love to hear from your perspective, like, I guess, what came in better than you thought? I mean, was it stronger volume, you got more leverage, et cetera?
Hilton Schlosberg: So what we said in the release, and I think that's quite important to look at that. So we had pricing actions, which were positive. Our supply chain optimization was again positive, and we had product sales mix. And that's -- as we move from more sugar beverages to lower -- to zero sugar alternatives, that benefits our margin. And then in the quarter, we also had higher promotional allowances, increased aluminum can costs, which we've discussed and geographical sales mix. So you put it all together, pricing was good, increase in pricing, supply chain optimization and product sales mix, and they were the major contributors to gross margin. Now gross margin was the same as last quarter, which was really pleasing to see. And we're really happy with where we are now. We spoke a little bit about tariffs in the script and that we will see an impact in tariffs. Tariffs, we spoke about another -- a modest impact in this quarter. We saw -- we spoke about a modest impact of tariffs in the fourth quarter and the first quarter of 2026. And then as we -- if things stay very much the same, we'll then be benefiting from what happened in 2025 because that's when the Midwest premium and the LME started moving on. And then, of course, we'll have the benefit of pricing, which Rob has just spoken about and which has been implemented effective November 1.
Operator: And our next question comes from Kaumil Gajrawala from Jefferies.
Kaumil Gajrawala: Well done this quarter. A question on the contribution of affordable energy around the world and its sort of impact on margins. The long history has been margins of international have been lower than the U.S. Now with the launch of affordable energy and given the margin profile, is that the sort of gap that -- is that the sort of product that can maybe narrow that gap in margins of international versus the U.S.? Or is it perhaps just not big enough at this stage to help bridge that?
Hilton Schlosberg: Yes. One of the problems internationally, as I've spoken on many occasions is that the pricing internationally is not the same pricing that we're able to achieve in the U.S. and that we look at some of our competitors, and we have to -- as we compete in a market, we have to price ourselves competitively. And we found that if we stray more than a certain percentage from a large competitor, it does impact volumes. So we have to be very careful with pricing internationally. Plus in most countries, our costs are a lot higher because in the U.S., we have significant scale. So now turning to affordable energy. I think affordable energy, because it's a concentrate will actually benefit overall margins internationally, but not to a significant degree, I would believe, but it will be a positive contribution because it's a concentrate model. And as you know, concentrated models really generate higher margins than finished good models, which we run on with our Monster brands.
Operator: And ladies and gentlemen, with that, we will be concluding our question-and-answer session for this afternoon. I'd like to turn the floor back over to Hilton Schlosberg for any closing comments.
Hilton Schlosberg: Thank you. On behalf of Monster, I would like to thank everyone for their interest in the company. We are confident in the strength of our brands and the talent of our entire Monster family throughout the world, and I'm excited to be working with them all and thank them for their contributions during the quarter. We believe in the company and our growth strategy and are committed to innovating, developing and differentiating our brands and expanding the company both at home and abroad. We are proud of our relationship with the Coca-Cola system and the opportunities this presents to us. We believe that we are well positioned in the beverage industry and are optimistic about the future of our company. Thank you so much for your attendance.
Operator: And ladies and gentlemen, with that, we'll conclude today's conference call. We do thank you for attending today's presentation. You may now disconnect your lines.